Operator: Ladies and gentlemen, thank you for standing by and welcome to the Q3 FY 2021 NGL Energy Partners Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to hand the call over to your speaker today, Mr. Trey Karlovich, our CFO. Please go ahead.
Trey Karlovich: Great. Thank you and good evening everybody. As a reminder, this conference call includes forward-looking statements and information. Words such as anticipate, project, expect, plan, goal, forecast, intend, could, believe, may and similar expressions and statements are intended to identify forward-looking statements. While NGL Energy Partners believes that its expectations are based on reasonable assumptions, there can be no assurance that such expectations will prove to be correct. A number of factors could cause actual results to differ materially from the projections, anticipated results or other expectations included in the forward-looking statements. These factors include prices and market demand for natural gas, natural gas liquids, refined products and crude oil, level of production of crude oil, natural gas liquids and natural gas, the effect of weather conditions on demand for oil, natural gas and natural gas liquids and the ability to successfully identify and consummate growth opportunities and strategic acquisitions at costs that are accretive to financial results and to successfully integrate and operate assets and businesses that are built or acquired. Other factors that could impact these forward-looking statements are described in Risk Factors in the partnership’s annual report on Form 10-K, quarterly reports on Form 10-Q and other public filings and press releases. NGL Energy Partners undertakes no obligation to publicly update or revise any forward-looking statements as a result of new information, future events or otherwise. This conference call also includes certain non-GAAP measures, namely EBITDA, adjusted EBITDA and distributable cash flow, which management believes are useful in evaluating our financial results. Please see the partnership’s earnings releases, investor presentations and annual and quarterly reports on Form 10-K and Form 10-Q on our website at www.nglenergypartners.com under the Investor Relations tab for more information on our use of non-GAAP measures as well as reconciliations of differences between any non-GAAP measures discussed on this conference call to the most directly comparable GAAP financial measure. With that, I will turn the call over to our CEO, Mr. Mike Krimbill. Mike?
Mike Krimbill: Great. Thanks, Trey. Welcome. I would like to begin with NGL’s business outlook. First, on our water segment, higher crude prices mean more DUC completions and ultimately drilling in the DJ, Delaware and Eagle Ford, which will translate into higher volumes. The DUC count on acreage dedicated to NGL in the Delaware is in excess of 500 wells currently. The DJ has at least 8 rigs running and 3 completion rigs that we know of. With respect to BLM land, we know about as much as you do. Our customers have multiyear inventory of drilling permits. We do not expect a surge of rigs entering the basin. The upstream companies will spend within their cash flows, which can actually be better for midstream as there will be consistency to drilling activity, not the peaks and valleys we have seen in the past. From a right-of-way perspective, we anticipated the current environment and we have secured all the BLM right-of-way we need to service our customers as well as future dedications we are working on. Importantly, we continue to reduce our cost per barrel through installation of station power, limiting diesel and generators, incremental barrels coming to us on pipe and staff reductions through automation and consolidation. With respect to our Crude Oil Logistics, as you know, we settled the Extraction bankruptcy, retaining their crude oil production with a new term supply agreement. We negotiated what we call a price adder. If crude exceeds $50 a barrel, we get to share in that increase. That will come into play beginning March 1. Obviously, we are very fortunate, because crude is in excess of $58 at the moment. With higher crude oil prices, we anticipate increasing volumes. It was important for us to retain these volumes on pipeline and secure dedication over the term of the contract to ensure that all future production flows on Grand Mesa as well. Regarding our liquids, both propane and butane blending have performed at or above our expectations for this year. We are expecting this segment to show improved earnings next year as demand for liquids and refined products is expected to improve post-pandemic and we are currently the beneficiary of a mini polar vortex now that will benefit our wholesale propane division for the current quarter. Regarding our adjusted EBITDA guidance, for fiscal 2021, EBITDA guidance remains at $500 million. That is the net of the impact of the Extraction settlement, which cost us an estimated $45 million this year. For fiscal ‘22, EBITDA is expected to be in the range of $570 million to $600 million, no change. The increase over 2021 is predominantly in the water segment, with additional contributions from liquids and lower legal fees. Regarding our capital expenditures, reducing maintenance CapEx has been a focus as we upgraded our facilities in the prior fiscal year. Our budget for fiscal 2021 was approximately $50 million. We have incurred just over $22 million for the 9 months ending 12/31. We have been very selective in spending growth capital as the majority of our infrastructure has already been built. We spent $43 million through the first 9 months on approximately a $50 million budget. Combined, we have incurred $65 million in maintenance and growth CapEx on a $100 million budget and expect to come in under budget for the year. In fiscal ‘22, maintenance cap will be about $35 million; growth cap around $75 million, which is $110 million and we have previously guided to a combined range of $100 million to $125 million. Thereafter, growth CapEx is expected to be around $50 million annually and maintenance between $40 million and $50 million. Trey will speak to our recent refinancing and elimination of the revolving credit facility that would have matured this October. We explored a number of private and public options and ultimately accessed the bond market at an attractive interest rate. In summary, this path provides for an extension of our maturities from 2021 to 2026. We now have covenant flexibility by eliminating leverage and interest coverage maintenance covenants and greatly improved liquidity. All the options we pursued would have required a suspension of both common unit distribution and preferred share dividends. Under the option we chose, these payments can be reinstated once our leverage falls to 4.5x or 4.75x or less. We cannot project when this will be achieved, but our goal is to delever as quickly as possible through debt reduction and EBITDA enhancement. So, with that, back to you, Trey.
Trey Karlovich: Great. Thanks Mike. I am going to start with the refinancing. Obviously, this was a very significant transaction for the partnership. First, I would like to thank our NGL team for all their efforts in pulling this transaction together. It was a – like I said, it was a significant accomplishment. As we discussed on our last earnings call, the extension of our credit facility has been our top priority due to the significant amount that was outstanding on the facility, about $1.7 billion plus $140 million in letters of credit and the near-term maturity of the debt, which went current in October and matured later in 2021. We were working closely with our relationship banks to effectuate a short-term extension into 2023. However, we were not able to meet certain terms and requirements of some of the lenders. We evaluated several alternatives to complete the extension, including asset sales, minority interest investments in our assets, private capital transactions, among others. Ultimately, we made the determination that a refinancing of the entire credit facility would be the best outcome for all stakeholders as it provided a complete solution to near-term maturities and will allow the business operations to recover and grow following COVID, NOPEC, and our recent Mesquite and Hillstone acquisitions as well as the settlement with Extraction. This refinancing pushed $2 billion of maturities that were coming due between now and June 2023 out to February of 2026. It also provided over $200 million of needed incremental liquidity today as we are managing higher commodity prices and a ramp up in demand and activity associated with the COVID recovery. This refinancing obviously came with a cost. Our interest costs will be higher over the next few years. And as Mike noted, our distributions will be temporarily suspended until our leverage is reduced, but we believe this was the best outcome for all stakeholders, considering some of the alternatives we were faced with and the impact of near-term maturity and tight liquidity was happening on our operations. This new structure provides the partnership with significant flexibility especially once our leverage is reduced to under 4.75x as long as liquidity remains over certain levels and no significant debt maturities are due within 90 days. The elimination of financial covenants will also enable the management team to focus on executing our business plans over the near-term to grow our cash flows and earnings of our established asset base. We currently have minimal capital expenditure needs or requirements over the next few years, which also fits well within this new financial structure. All capital expenditures will either be funded with cash flows from operations or possibly on the ABL and any significant CapEx or acquisition opportunities that arise will be specifically self-financed. Ultimately, this refi provided the partnership with a full solution to its financing needs and we appreciate the bank group that supported us through this transaction as well as the investors that participated in the notes offering. Our goal is to de-lever our balance sheet and provide the business with flexibility to maximize returns to the benefit of all stakeholders. We will be highly focused on reducing debt and continuing to extend maturities over the coming quarters. Moving to our results for the quarter, I would like to point out a few of the items that impacted the quarter specifically. As we noted on the last call, the Poker Lake connection came online on October 1, a significant milestone for our Water Solutions business and water volumes in the Northern Delaware Basin continued to grow. Extraction diverted significant volumes from Grand Mesa in our crude oil segment as both parties work towards the ultimate settlement and new contractual arrangement that Mike covered. And we completed additional note repurchases of various discounts through the quarter as well. Overall, our adjusted EBITDA for the quarter was $125 million and has totaled $354 million year-to-date. With the impact of these items, our total leverage at 12/31/2020 ended up just over 6x. Some additional color on the crude oil segment, the crude oil segment reported approximately $26 million of adjusted EBITDA this quarter and $122 million year-to-date. Grand Mesa volumes averaged only 69,000 barrels per day this quarter, with the largest decrease due to the Extraction barrels being diverted. We have estimated the fiscal 2021 impact from the Extraction bankruptcy to be $45 million, which includes the lower volumes, revised rates, the write-off of minimum volume deficiencies and legal costs for defending our contracts. We received $35 million for our remaining unsecured claims in January. This amount will not be recognized in fiscal 2021 adjusted EBITDA. As a result of the bankruptcy and the global settlement with Extraction, we wrote off our intangible assets associated with legacy transportation agreements. This also required us to evaluate the goodwill associated with the Crude Logistics segment for an impairment. We wrote-off $384 million of goodwill and intangible assets during this quarter as a non-cash charge for earnings. Third quarter adjusted EBITDA for this segment also includes the write-off of approximately $6 million related to previously invoiced minimum volume deficiencies to extract. We are expecting improved earnings from this segment on a go-forward basis as we transition to the new supply agreement with Extraction and see increased activity from other producers in the DJ Basin. We also expect to benefit from the higher crude oil prices in the current market. Moving to Water, the Water Solutions adjusted EBITDA was $66 million for the quarter and has totaled $184 million year-to-date. Total produced water volumes averaged 1.4 million barrels per day during the quarter with an increase in the Northern Delaware Basin driven by the new Poker Lake deliveries. Delaware Basin volumes now represent 86% of total portfolio volumes and over 97% of the Delaware Basin volumes are on our pipeline system. Eagle Ford and DJ Basin volumes remain challenged by the lower crude oil prices, rig counts and completions coupled with production declines during the quarter. We are starting to see increased activities in these basins in the current commodity price environment, but continue to expect a slower recovery of volumes in those areas of operations. We received an average disposal fee of $0.61 per barrel for the quarter, a slight decrease driven by the new Poker Lake volumes. Skim oil volumes averaged 2,000 barrels per day during the quarter and we recovered about 14 basis points from our disposal of water. Again, Poker Lake volumes have impacted our recoveries as they contain minimal skim oil. Operating expenses was another highlight with reductions realized in the prior quarter carried into the third quarter and we averaged $0.27 per barrel for the quarter. We expect this cost per barrel to continue to decline as we add incremental pipeline barrels and capture the efficiencies of the scale on our system as well as some of the items Mike mentioned earlier. Finally, going to Liquids and Refined Products, adjusted EBITDA for this segment totaled $42 million this quarter and $75 million year-to-date. Product margins remain in line with our expectations during the quarter and volumes continue to be impacted by weaker demand through COVID. We have seen some increased product pricing in the recent months and several cold snaps should benefit our wholesale propane business demand. This segment remains in line with our expectations for the year and we expect it to perform better as demand picks up for motor fuels and blending stocks and a recovery in macroeconomic environment. Our corporate costs remain in line with expectations as well and included the one-time legal cost associated with our defense of the Extraction bankruptcy of approximately $5 million year-to-date. Our growth CapEx totaled approximately $5 million for the quarter and $44 million year-to-date. As previously mentioned, we have minimal growth capital expenditure requirements going forward and we believe we can service our producer customers, utilizing our existing pipeline system and interconnect and disposal of assets. We continue to manage our maintenance CapEx as well, which was about $6 million during the quarter and has totaled $22 million year-to-date. Our combined capital expenditures has totaled $66 million as Mike mentioned and is still expected to come in below the $100 million guidance for the full year. Mike also covered our initial guidance for fiscal ‘22 at $100 million to $125 million for growth, acquisitions and maintenance expenditures. A portion of these expenditures would be dependent on successfully securing additional acreage dedications in the Delaware. Finally, we have covered some of the highlights and expectations related to each of our segments going into next year. We initiated adjusted EBITDA guidance for next year between $570 million and $600 million. This guidance includes assumptions around increased produced water volumes, crude volumes transported on Grand Mesa by Extraction and other DJ Basin producers, commodity prices remaining at reasonable levels or higher, and a recovery in demand for refined products and natural gas liquids. In summary, this was a very significant 3 to 4-month period for the partnership as we resolved several unknowns, including Extraction and near-term debt maturities and positioned the partnership for future success. This has been an unprecedented time for all of us and we appreciate your continued support. That concludes our prepared remarks. And we will now open the line up for questions.
Operator: And thank you. [Operator Instructions] And our first question comes from TJ Schultz from RBC Capital Markets. Your line is now open.
TJ Schultz: Hey, guys. Good afternoon. Just first so I am clear, with the debt deal done, are you no longer pursuing a JV of the water business?
Mike Krimbill: That’s correct. We are not.
TJ Schultz: Okay, understood. And then on the water business, as we think about other potential dedications out there, are there dedications similar in size to Poker Lake out there that you expect in the coming year? And is guidance next year dependent on capturing any of those types of dedications or is it more of the DUC conversions driving some of that growth?
Mike Krimbill: Yes. There are two in particular working on that size. None of those are in our numbers. So, it’s more – we anticipate more of the DUCs getting completed. That’s quite a bit of water. And then hopefully, we just kind of maintain a certain rig count and as I said before, get rid of the peaks and valleys.
TJ Schultz: Okay, understood. And maybe for Trey, on the distributions, I understand the 4.75x leverage target. But where do you want to manage the business longer term from a debt perspective? Should we assume you keep driving leverage lower before restarting the common unit distributions? And then is there a different timeline kind of thinking along those lines to pay on the preferred versus restarting on the common? Thanks.
Mike Krimbill: Sure. So, the 4.75x is the threshold, TJ. So, we have to be below 4.75x in order to make restricted payments, which would include common and preferred distributions. The preferred distributions will accumulate. So, we will have – and we will have to make preferred distributions before we can make common distributions. Obviously, we want to continue to push leverage lower. Our target is not 4.75x. We would like to get below 4x. That’s been a long-term goal and continues to be the goal. But there will be numerous factors that go into that decision. Ultimately, we have to look at the performance of the business, the liquidity position, what maturities look like, what the market looks like at that point in time. So, there will be numerous factors that weigh into that decision, but we will have to make the preferred distribution or address the preferred prior to making a common distribution.
TJ Schultz: Okay, understood. Thanks.
Mike Krimbill: Yes.
Operator: And thank you. And our next question comes from Patrick Fitzgerald from Baird. Your line is now open.
Patrick Fitzgerald: Okay. Congrats on getting the new deal done.
Mike Krimbill: Thanks.
Patrick Fitzgerald: I wanted to ask about the Crude Oil Logistics segment. Obviously, there is a lot of moving pieces in the $45 million reduction, but assuming oil is at current level or it stays at current levels based on the new deal with Extraction, what would you expect the impact to be versus what you had or what you have now kind of on a full year basis?
Trey Karlovich: Want to start?
Mike Krimbill: No.
Trey Karlovich: Yes. So the $45 million impact as we mentioned about $5 million of that’s related to the legal costs. The remainder is driven by volume and then rate. Under the new structure, as Mike discussed, we have what we call a price adder. In today’s environment, we would have a benefit from that price adder. The key to what the earnings profile would look like would be volume. So, Extraction has – they have emerged from bankruptcy. They are looking to start to increase their production. They have activities going on within the basin. Higher price environment obviously should support their activities, but that will be the driver for the Grand Mesa asset, which is the biggest piece of crude, will be what ultimate volumes are moved on the pipeline. Under the new contract, as we mentioned, there is not a minimum volume commitment. So, we are aligned with Extraction and with their production profile. So, they can increase production as well as other producers in the basin. Extraction just happens to be the largest as well as other producers in the basin. If they can increase production out of the basin, that will be to our benefit on Grand Mesa. In the guidance we put out, what, 3 or 4 weeks ago, I will tell you, did not factor in $57 or $58 crude prices. So that’s a benefit to this point in time. The key will be what does that mean from a production profile perspective.
Patrick Fitzgerald: Okay. And how much of a benefit would that be or some range – what kind of a range of benefit would that be?
Trey Karlovich: Yes. I mean, the – what I think you’re getting at is what is our rate on Grand Mesa, what – I think we’ll – what we can say is that the rate, not where it was historically, which was about $4.40, but it’s also not where some people speculated at $2 or less. And with the rate adder, as prices continue to increase or stay at these levels, we get back closer to what our existing – or previous rate was. But again, the key is going to be volume.
Patrick Fitzgerald: Okay, great. Now under the new deal, you can still buy back both your ‘23 and your later-dated senior notes up to $200 million. Where does that fall in the priority spectrum?
Trey Karlovich: Yes. It’s a bit of a balancing act, but obviously, we want to de-lever. We also need to address near-term maturities. We will be generating pretty significant excess cash flow over the coming quarters. I would expect us to look at all options between the ‘23, ‘25 and ‘26. There are – I think there is good reasons to address the ‘23 first because of the near-term maturity, but then you also can capture more of a discount on the ‘25 and ‘26. So it will be a bit of a balancing act, so to speak, but I think all options are off the table. Mike, I don’t know if you want to add?
Mike Krimbill: Yes. I think I would just add we’re definitely focused on ‘23.
Patrick Fitzgerald: Okay, great. And then just – you kind of talked about it a little bit, but $500 million to $585 million midpoint. You said water is going to be a big component of that. If you could – any additional color on – by segment, how you would expect that to occur would be helpful?
Trey Karlovich: Yes. We would expect crude to be fairly consistent with this year’s earnings. It’s our expectation for next year right now. Again, higher commodity price could be a benefit there. Liquids, as we mentioned, we are expecting liquids to perform better than it did this current year. Last year was an anomaly to the upside. There were several onetime items that impacted last year to the good. So we are not expecting to get back to that level necessarily in liquids, but we are expecting improvement. And then water, again, water, if you look at the current run rate of $66 million, that’s a benefit on what we’re seeing for this year-to-date. We have – we’ll have a full year of Poker Lake, which we only have 6 months in the current year, as well as the growth that we’re expecting primarily in the Delaware Basin. We are looking at some improvement in the DJ and the Eagle Ford assets but not significant. It will be driven by the Delaware and what we have going there.
Patrick Fitzgerald: Alright. Thanks a lot.
Operator: And thank you. And our next question comes from [indiscernible] from TPR. Your line is now open.
Unidentified Analyst: Yes. Thank you for taking my question. I was wondering if you could help me understand the change in gross margins in the Crude Oil Logistics between the second and third quarter. There’s a 10-point deterioration. Are those onetime items that are permanent change in the profitability of that business?
Trey Karlovich: So that – the gross margin in crude will be driven by what the shape of the market looks like. So if earlier in this year we were in a contango market, that will drive or could impact the margins that we generate in that segment as we are – would be holding barrels in that business versus in a backward-dated market where we are trying to liquidate the barrels. If you look over time, the margins, the crude oil margins do have some variability to them depending on what the – again, what the shape of the curve looks like.
Unidentified Analyst: Okay. Thank you.
Trey Karlovich: Primarily, crude is driven by – historically has been driven by the transportation fees.
Unidentified Analyst: Okay. Then another question on the preferred accruals, assuming that there is no preferred payments in the few quarters coming forward, how much – what’s the total accruals across all 3 classes per quarter or per year, if you know?
Trey Karlovich: It’s between 8 – at the current rate, it’s between $85 million and $90 million per year.
Unidentified Analyst: Okay. Thank you.
Operator: Thank you. [Operator Instructions] And our next question comes from Philipp Duffner from Aurelius. Your line is now open.
Philipp Duffner: Hi, thanks for taking my question. I was wondering on the Grand Mesa pipeline, right? The volumes fell like pretty dramatically quarter-over-quarter. Could you give some more color on what were the different components that caused that breakdown and also to what level could they rebound or do you expect them to rebound this quarter and going forward?
Trey Karlovich: Yes. So that completely relates to Extraction and their restructuring. So they entered bankruptcy in June. Their volumes came down significantly in our fiscal third quarter, October through December. With our new contract in place, we are expecting those to go back beginning this quarter. It will take some time for them to recover back to what their prior production levels were. They are active in the basin, but it will take some period of time.
Philipp Duffner: Got it. And you mentioned earlier that they diverted some barrels. Did you mean by that they actually put it on different pipelines and those will come back to you like immediately or is there also a delay to that impact?
Trey Karlovich: Correct. Those barrels are coming back this quarter.
Philipp Duffner: Got it. And can you give some more color in terms of the gross profit per barrel in the water segment? I mean, how much scope is there for that to decline from the $0.61 per barrel?
Trey Karlovich: So the disposal rate per barrel, as we increase barrels in the Delaware Basin on pipe, could come down a little bit. However, the operating expenses per barrel in that basin are also lower. So our margin is about the same as compared to some of our ancillary bases as well. So while the disposal rate per barrel could come down over time as we add more pipe barrels in that basin, the OpEx per barrel should come down at relatively the same level.
Philipp Duffner: Got it. And just in terms of like quarter-over-quarter, you’re looking at EBITDA increasing from around like $125 million to $145 million based on the guidance. Can you give some color? I guess on that quarter-over-quarter period, what are going to be the main drivers here?
Trey Karlovich: Sure. So, the incremental volumes coming back on Grand Mesa for crude, we had some one-time charges during the quarter, about $11 million related to the Extraction settlement between legal and a write-off of minimum volume deficiencies. We also are expecting water volumes to continue to grow through the quarter. And then remember, our liquids business has some seasonal components, where our propane business generates most of its profit kind of this call it, November, December through March.
Philipp Duffner: Thank you. That’s helpful.
Mike Krimbill: You bet.
Operator: And thank you. And our next question comes from [indiscernible]. Your line is now open.
Unidentified Analyst: Yes, thank you. Good afternoon guys. I have two questions. First, I may have missed it but can you give us some insight? Was there any debt repurchased during this quarter at a discount or otherwise?
Trey Karlovich: There was a little bit of debt repurchased during this quarter. In total, during the year, we repurchased about $125 million of face value notes and spent about $75 million, so a net $50 million debt reduction from repurchases.
Unidentified Analyst: Okay. Second question, can you give a little color or insight if you have had it from your customers regarding the expected ramp-up for volumes on Poker Lake?
Trey Karlovich: Yes. So the Poker Lake volumes came online exactly how we expected it. We have seen an increase coming into this calendar year and expecting those volumes to continue to increase through this year. We have no reason to believe that those volumes will not be in line with the producer expectations.
Unidentified Analyst: Okay. Thank you very much guys.
Trey Karlovich: Yes.
Operator: Thank you. And our next question comes from [indiscernible]. Your line is now open.
Unidentified Analyst: Hi, good afternoon guys. First question is if God forbid, if oil were to fall back into 20s, 30s, how secure is the global agreement with Extraction? Would they be again easy to retrieve themselves from the contract or divert barrels to another pipeline?
Trey Karlovich: No, those – the barrels would be dedicated. The question would be how – what does their drilling activity look like at that – at those levels. But any barrels produced on the dedication would come to our system.
Unidentified Analyst: Okay. And then the leveraging from what we are – from what I’m seeing, is going to be very slow possibly in the next, I don’t know, 5, 7, possibly 10 years to de-leverage the business to an appropriate level before paying preferred and common. But ballpark figure – this is a hypothetical question. What would be the EBITDA if all three segments were at full capacity? Say the premium was at 3 million barrels, Grand Mesa was at 150,000 barrels, what would be the EBITDA if all three segments were firing on all 8 cylinders, ballpark figure?
Mike Krimbill: It could be more money than we can count. I don’t know what’s in – it would be a happy day. But I think to your first observation, if we were to – if your EBITDA is $600 million and your debt is $3 billion some, if you are reducing your debt by $300 million, that’s half turn a year.
Unidentified Analyst: Okay.
Mike Krimbill: So just on that math, it would take 3 years to get down to 4.5x if there was no increase in EBITDA, which over the – we expect better results each year from our water business. So yes...
Unidentified Analyst: I appreciate that.
Mike Krimbill: 10 years.
Unidentified Analyst: And one final – okay. And one final question. As a retail investor that owns tens of thousands of shares of NGL and I think I speak for the retail community, what would be the incentive for us to stay invested? Now that the dividend is gone to the bondholders and possibly for the next 3, 5 years, what would you think would be our incentive to stay invested for long-term? Thank you. 
Mike Krimbill: I don’t know that I can say much about buying and selling our equity because we’re in a blackout period. So all I can say is watch what I do.
Unidentified Analyst: Okay. Thank you very much, Mike. Appreciate it.
Operator: And thank you. And our next question comes from [indiscernible] from JPMorgan. Your line is now open.
Unidentified Analyst: Hi. Thanks for taking the questions. I know you guys can’t comment on customer-specific volumes, but when you say that that’s all the deferred volumes during the quarter, were they shipping any volumes on Grand Mesa? I’m just trying to bridge into what current transport volumes look like in 4Q and run rate going forward?
Trey Karlovich: Yes. So there – it’s limited of what we can disclose regarding shippers on Grand Mesa. So as we stated, they had – they didn’t deliver volumes. They did defer a significant amount of volumes. They are bringing volumes back. So unfortunately, I can’t give specifics around it, but they did deliver some volumes during the quarter.
Unidentified Analyst: Okay. Thanks.
Operator: Thank you. And our next question comes from [indiscernible] from Lonestar Capital. Your line is now open. 
Unidentified Analyst: Hi, guys. Thank you for taking the question. When you created your guidance for next year’s EBITDA, did you have any revenue adds from the new XOG contract baked into guidance or was guidance included at the full – yes, next year’s guidance?
Trey Karlovich: Yes. We built next year’s guidance based off of the new contract and the settlement with Extraction.
Unidentified Analyst: And did that – did your estimates assume – well, I guess I’d ask what did your estimates assume for the price of oil vis-à-vis the revenue adds?
Trey Karlovich: Yes. When we put this guidance together as we were working with our bank group and it was less than $50 a barrel, we were below where the price adder is today.
Unidentified Analyst: And if you were to reassess guidance, assuming current oil prices stay steady throughout the year, how would that change your guidance?
Mike Krimbill: Well, it wouldn’t be lower to me.
Unidentified Analyst: Assuming – I understand. Assuming your volume estimates stay the same and assuming oil is where it is versus below – the below $50 that it was.
Trey Karlovich: Yes, hard to answer. There is obviously a lot of things that go into putting together our guidance. Just the crude price alone would have a benefit. As Mike said, it wouldn’t be lower, but quantifying that right now would be difficult.
Unidentified Analyst: Okay. Unrelated topic, given what New Mexico cited about using freshwater for drilling and fracking, is there any opportunity for you to take the produced water that you currently dispose of in wells and recycle it and sell it back as frac water?
Mike Krimbill: Yes, definitely. We think that’s a – it’s taking something that was a cost to us to dispose and turning it into a new revenue stream in that the producers, for the most part, we think of – developed the chemistry to be able to use the produced water. And so we think that’s a real growth area going forward. We are already selling produced water. And I don’t know if we set that out separately in our financials.
Trey Karlovich: Not yet.
Mike Krimbill: Not yet. So we may – it may be something we do. So you can see how much it is.
Unidentified Analyst: And do you have ongoing conversations with current customers or current drillers in the New Mexico area to explore that opportunity?
Mike Krimbill: Yes.
Unidentified Analyst: Okay, great. Thank you very much.
Operator: Thank you. And I would now like to turn the call back to Trey Karlovich for closing remarks.
Trey Karlovich: Great. Again, thank you everybody for joining us. And this was an important quarter for the company. We have addressed, as we have mentioned, quite a few of the unknowns and uncertainties, gotten back on our front foot and looking forward to a successful fiscal 2022. I hope everybody stays safe and healthy.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.